Operator: Hello, and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the fuboTV Inc. First Quarter 2026 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star then the number one on your telephone keypad. I would now like to turn the call over to Ameet Padte, SVP of Financial Planning, Analysis, Corporate Development, Investor Relations. Ameet, please go ahead.
Ameet Padte: Thank you for joining us to discuss fuboTV Inc.'s first quarter fiscal 2026 results. With me today is David Gandler, co-founder and CEO of fuboTV Inc., and John Janedis, CFO of fuboTV Inc. Full details of our results and additional management commentary are available in our earnings release and letter to shareholders, which can be found on the Investor Relations section of our website at ir.fubo.tv. Before we begin, let me quickly review the format of today's call. David will start with some brief remarks on the quarter and our business, and John will cover the financials. Then we will turn the call over to the analysts for Q&A. I would like to remind everyone that the following discussion may contain forward-looking statements within the meaning of the federal securities laws. These include statements regarding our financial condition, anticipated financial performance, expected synergies and benefits from our recent business combination, business strategy and plans, including our product, subscription packages, and commercial agreements, market, industry, and consumer trends, and expectations regarding growth and profitability. These forward-looking statements are subject to certain risks, uncertainties, and assumptions, which could cause actual results to differ materially from our current expectations. For further information, refer to the earnings release we issued today, our letter to shareholders, and our SEC filings, all of which are available on our website at ir.fubo.tv. During the quarter, we closed our business combination with Hulu + Live TV. As a result, our reported results for the current period reflect the results of the Hulu Live business prepared on a carve-out basis for the period from 09/28/2025 through 10/28/2025 and exclude fuboTV Inc.'s results for this period. For the period from 10/29/2025 through 12/31/2025, the results include the combined fuboTV Inc. and Hulu Live businesses. The reported prior year period fiscal Q1 2025 also reflects Hulu Live Financials prepared on a carve-out basis and excludes the results of the historical fuboTV Inc. business. To facilitate comparability between periods, we will discuss certain results on a pro forma basis, giving effect to the transaction as if it had been completed at the beginning of the first period presented. We will also refer to certain non-GAAP measures during the call. Please refer to our Q1 fiscal 2026 letter to shareholders available on our website at ir.fubo.tv for a further description of the pro forma presentation and reconciliations of these non-GAAP measures to the most directly comparable GAAP measure. With that, I will turn the call over to David.
David Gandler: Thank you, Ameet, and good morning, everyone. Q1 marked our first as the owner of Hulu Live, and it validated the strategic rationale behind the combination, offering greater scale, broader distribution, and improved economics. On a pro forma basis, over the past twelve months, the fuboTV Inc. and Hulu Live businesses generated $6.2 billion of revenue and ended the period with 6.2 million subscribers in North America. This firmly establishes us as a scaled and relevant player in the pay TV market and one focused on growing. On a trailing twelve-month pro forma basis, adjusted EBITDA was $77.9 million. As a combined company, we believe there are meaningful opportunities ahead to unlock synergies and efficiencies that will support sustained growth and improved profitability. Since closing the Hulu Live combination in late October, our priority has been execution to expand reach, scale, and monetization across all of our services. And just a few months in, we are converting strategy into action. We are nearing completion of stage one of our integration plan, migrating fuboTV Inc.'s ad tech into the Disney ad server. Once live later this month, fuboTV Inc. inventory will be sold alongside Disney Plus, ESPN Plus, and Hulu. We expect this integration to drive a meaningful uplift in both CPM and fill rates. Stage two of our plan is focused on the consumer. We've experienced strong market traction for our well-priced fuboTV Inc. Sports Service. It resonates with value-oriented consumers and complements our broader content offering. fuboTV Inc. Sports includes major networks such as ESPN, ABC, CBS, and Fox, among others. Building on this momentum, we are pleased to announce that we are working with ESPN to include fuboTV Inc. Sports in ESPN's commerce flow. Customers will be able to purchase fuboTV Inc. Sports alongside offerings such as ESPN Unlimited and the ESPN, Disney Plus, Hulu bundle, and then watch directly on the fuboTV Inc. app. This opportunity is particularly exciting given ESPN's scale. Per comScore, ESPN's digital and social properties reached four out of every five US adults in November 2025, representing hundreds of millions of unique fans. It allows us to market fuboTV Inc. Sports directly to a sports-centric audience and drive subscriber growth more efficiently with meaningfully lower customer acquisition costs. We continue to focus on our Spanish-speaking audience, and in fiscal Q1 2026, delivered record-high subscribers on fuboTV Inc.'s Latino product. In January, Hulu Live launched the Spanish language bundle, meaning that Spanish-speaking customers now have two plan options within the fuboTV Inc. and Hulu Live ecosystem. Stage three of our plan focuses on achieving content cost efficiencies commensurate with our increased scale and applying greater portfolio discipline as we evaluate which content best supports flexible pricing and affordability. As major distribution agreements for the fuboTV Inc. services and the Hulu Live service come up for renewal, our objective is to move towards market-based pricing and penetration that reflects our combined increased scale. In the near term, I want to address NBCUniversal as we've received questions from investors and subscribers. Through November, our teams were engaged in renewal discussions with NBC. Following the confirmation of the Versant spin-off, we paused discussions to allow the separation process to proceed. Beginning in early January, Comcast ceased engagement in renewal discussions despite multiple outreach attempts. Comcast indicated that they are satisfied with their existing Hulu Live arrangement and do not intend to engage in renewal discussions on the fuboTV Inc. side at this time, preferring to reengage closer to the Hulu Live expiration. Given that most commercial terms had been largely aligned prior to the spin-off, this position is very difficult to reconcile. Importantly, the subscriber impact to date has been modest since the removal of NBC content and better than our expectations. We believe this reflects the resilience of our sports-focused value proposition, the actions we took to preserve consumer value, including our decision to lower prices, and customers' ability to supplement fuboTV Inc. with Peacock. While we remain open to constructive engagement, we will review the role of the NBCU and Versant portfolios as we continue to evaluate content alignment for our 6 million-plus subscriber base. Looking ahead, our 2026 North Star is simple: growth. We are focused on expanding our subscriber base through differentiated sports offerings, scale distribution partnerships, and improved monetization, driving long-term value for consumers and shareholders. I will now turn the call over to John Janedis, CFO, to discuss our financial results in greater detail. John?
John Janedis: Thank you, David. Good morning, everyone. Fiscal Q1 2026 marked our first quarter reporting as a combined company following the completion of our business combination with Hulu Live in late October. As a reminder, because the transaction closed mid-quarter, to aid in analysis of the combined business, we will also discuss our results on a pro forma basis, giving effect to the combination as if it had been completed at the first period presented. Turning to the financial results for the quarter. In North America, reported revenue was $1.54 billion compared to $1.11 billion in the prior year period. On a pro forma basis, North America revenue was $1.68 billion compared to $1.58 billion in the prior year, representing growth of 6%. This reflects the scale of the combined platform and continued demand for live TV streaming across both the fuboTV Inc. and Hulu Live brands. On a combined basis, we ended the quarter with approximately 6.2 million North America subscribers compared to 6.3 million in the prior year. Turning to our profitability metrics. Our reported net loss for the quarter was $19.1 million, a meaningful improvement from a $38.6 million loss in the prior year period. On a pro forma basis, net loss improved to $46.4 million compared to $130.4 million last year. Importantly, we delivered positive pro forma adjusted EBITDA of $41.4 million, nearly doubling from $22 million in the prior year period. From a cash and liquidity perspective, we ended the quarter with $458.6 million in cash, cash equivalents, and restricted cash. Note that operating cash flow in the quarter was impacted by working capital timing, particularly a build on accounts receivable following the close of the transaction we expect to normalize over subsequent quarters. Earnings per share for the quarter reflected a loss of $0.20 based on 351.9 million Class A shares outstanding with an additional 947.9 million Class B shares outstanding on a vote-only basis. We also announced today a planned reverse stock split of our common stock. The reverse split is intended to make the stock more accessible to a broader base of investors and will reduce the number of outstanding shares of common stock to a level better aligned with the company's size and scope. We aim to execute the reverse split by the end of fiscal Q2 2026. In summary, fiscal Q1 represented a strong start to the year and an important first quarter as a combined company. Our results demonstrate healthy top-line growth and significant year-over-year expansion in profitability metrics, including positive pro forma adjusted EBITDA. As we move forward, we remain focused on disciplined execution, driving further efficiencies across the combined business, and continuing to improve our profitability metrics and cash generation over time. With that, I'll turn the call back to the operator for questions. Operator?
Operator: At this time, if you would like to ask a question, press star. Then the number one on your telephone keypad. To withdraw your question, simply press 1 again. We kindly ask that you limit your questions to one and one follow-up for today's call. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of David Joyce with Seaport Research Partners. Please go ahead.
David Joyce: Thank you. Two questions, please. First, to drill down a little further on the issue with NBCUniversal. With more streamers getting more access to sports rights, and industry consolidation out of the way, what's your view on being able to retain or regain sports rights to keep that focus going forward? And do you think that Comcast is not reengaging because they're driving the Peacock service in the near term because of the Olympics? Can you return to the table with Televisa Univision for soccer? When does the Peacock or when does the Comcast and NBC deal with Hulu Live come up for renewal? Any further thoughts on that, please?
David Gandler: Yeah. Why I take that, John? So, David, thank you. This is David. I mean, there was a bunch of questions in there. So let me start with the NBC question. First, I want to say that, obviously, going forward, we're not going to separate out the numbers for Hulu Live and fuboTV Inc. But just to be very clear, we were up 3% year over year versus the prior year in subscribers, despite the fact that we were down with NBC for, I believe, over four weeks. So it speaks to the quality of the team, our ability to market on platform, and to really understand the type of consumers we have. We also were able to drive some traffic to Hulu Live TV. As it relates to the programming, look, we have strong relationships with the leagues. We have an excellent relationship with Major League Baseball. We've been working with them closely as teams begin to migrate to the MLB platform. But for the most part, I think the major content deals and partnerships that we have with, obviously, with Disney, Fox, CBS, those are still active. And let's not forget, NBC is still on Hulu Live, and we're working with Disney and the Hulu team to ensure that we can drive traffic to NBC on Hulu Live.
John Janedis: As it relates to Univision, again, just want to be very clear here, we've exceeded our own expectations. We've reached an all-time high on our Latino package. And in the same vein, Hulu Live now has its own Skinny package, which does include Univision. And so going forward, we should be thinking about our subbase in totality. So we're north of 6 million subscribers, which is the second largest dMVPD in the United States. And we think that we'll be very focused on continuing to provide flexibility, optionality, and affordable packaging.
Operator: Your next question comes from the line of Clark Lampen with BTIG. Please go ahead.
Clark Lampen: Thanks very much. John, I know you guys aren't providing guidance for the year, maybe with regard to sort of '26. And if we refer back to the old forecast that you provided as part of the proxy, can you remind us whether those targets included any revenue and expense synergies? You guys have laid out a couple of things that seem potentially interesting with ad server integration and consumer packaging flows that could be accretive. Was that a part of the old guidance? And then maybe second question, for your fiscal Q2, the March, should we expect that assuming nothing changes with NBC, do you anticipate positive year-on-year growth with subscriber resource or any context that you could provide directionally for how we should think about the impact maybe for fiscal Q2 or fiscal Q3? Thanks a lot.
John Janedis: Yeah. Sure, Clark. So let me handle the first question, and then I'll go on to the one about the March. So on synergies, when we put the deck out last January, what was in there, what we stated was that we expected and assumed $120 million plus in synergies. In that deck, we also stated that the assumption was those took place on day one in terms of when the deal closed. That was more or less a simplifying assumption. In terms of the timeline around that, maybe just a little bit more color. You know, in the short term, to David's point around the Disney ad server, that will come first in terms of the synergies. That's a combination of film and CPM. Maybe a little more color on that. If you think about our ad numbers at fuboTV Inc. stand-alone historically, call it there around, you know, say, $100 million-ish. And so I would say that the CPM and the fill opportunity is both in the double digits. The second piece was the content and slash programming synergies. Those are, I call, more medium to long term because those take place as contracts renew. There's a third piece that we didn't speak to a year ago, which was, I'd say, call it procurement. We're in the very early stages of that now, and I would say I'm optimistic that that could be a needle mover. And so those are the three. But, again, none of those assumed day one. Sorry. They all assume day one. But they will prove it's low in over time. Yep. Sorry, John. Just one more thing, Clark. This is David. Just around NBC, I understand that it's a concern. But as I mentioned before, we believe that it's very important for us to be able to provide various packaging across a spectrum where we're able to offer consumers enough flexibility. And it's very important to note that the fuboTV Inc. Sports service, which is a skinnier version of our legacy fuboTV Inc. package, includes NBC, is actually performing very well. We haven't been marketing it very hard. It continues to grow. You know, trial conversion rates are very high. And more importantly, when you look at, you know, I think that package is now in its third or fourth month. When you look at it from a retention perspective, retention is actually about 30% above what the legacy plan is. And so when I think about a future in the short term that might or may or may not include NBC, I think this package has a significant opportunity to grow. It fits very nicely into the overall ecosystem. With YouTube TV sitting in that sort of $80 plus dollar range. And then you have the ESPN, you know, Fox One bundle. If I'm not mistaken, is in that sort of, you know, high thirties range. And, you know, with our promotional pricing of $45.99 or $44.99, this is a very attractive entry point to get access to local NFL games, college football, and a very strong, you know, portfolio of programming. So again, you know, basically, what we're seeing now is just strong KPIs across that package. And you know, as I mentioned before, with ESPN, you know, if we can, I mean, if we can figure out very quickly, which as you've heard that we're doing, we should be able to drive a tremendous amount of traffic at some point when we go live with them. There are two different, you know, opportunities that we've been focused on. The first really is around marketing. Think of what YouTube is able to do for YouTube TV from a top of the funnel perspective. You know, ESPN, you know, engages with four out of five adults in the United States. So you know, if we can just leverage that, that should have a significant impact on our blended SAC numbers.
David Gandler: And, frankly, could be a lot more measured and disciplined around how we market. So that's just one angle. And the second one in the commerce flow, again, this is another area where not only it would open up the funnel, but at the same time, I think it would have pretty significant, you know, retention metrics around it just given the fact that this would be part of a, you know, an ESPN umbrella or ID. So all of these things, I think, are positive. And I think this gives us a chance to continue to grow. We've demonstrated our ability to grow losing partners in the past, and you know, our goal is to continue to grow this product and reach new highs.
John Janedis: And, Clark, maybe one last thing or an exclamation point on David's comment. As it relates to growth going forward, whether it's the March, June, you know, or beyond, let me just add a couple more things. One is, again, we've been pleased to date with the results. But, clearly, we'll know more following the Super Bowl and then the Olympics. And just as a reminder, traditionally, we don't spend much against the Olympics because those subs don't retain well. But our goal is to grow and to grow profitably.
Operator: Your next question comes from the line of Brent Pinter with Raymond James. Please go ahead.
Brent Pinter: Hey, everyone. Thanks for taking the questions. First one for me, David, you talked about your North Star being growth. And with the merger closed and now you have more scale and a bigger balance sheet, how do you think about your priorities in terms of investing for subscriber growth? Versus, as a stand-alone company? I think you're a little more focused on just generating free cash flow now. How does the merger increase your ability to invest? And then second, just any quantification for the benefits you might have seen from the Disney YouTube TV blackout in the quarter. Thanks.
David Gandler: Yeah. Sure. So, first on the profitability front, I think we have now seen three consecutive quarters of profitability. I think this was a major concern dating back three or four years, so I think we've resolved that. The balance sheet, as John likely talked about shortly, is very strong. And we are very well positioned to be able to take advantage of various tailwinds. You did mention the fact that, you know, we're in a much stronger position. I think the beautiful thing about, you know, where we sit right now and the potential of the flywheel within the Disney ecosystem is that they reach hundreds of millions of people every year. And so, you know, if we can figure out, which we're in the process of doing, you know, what are the most efficient and effective marketing channels, it really shouldn't impact, you know, our cost structure very much. And so I think that flexibility does give us the chance to invest more into growth. But I will say, if you look at our, again, on a stand-alone basis, we spend less on marketing in the fourth quarter despite losing NBC and still been able to sort of maintain solid numbers on the fuboTV Inc. side. So from that perspective, we'll be working closely with the various teams within Disney. I want to say that the relationships have been great. Let's not forget this deal closed on October 29 right before the holiday season. And we're just getting to know the various folks who run different teams. And everyone's been very supportive. So we look forward to building those and driving value for the overall subscriber base. And then last question, I think, was around YouTube TV. What was the question?
John Janedis: Just yeah. So I'll take that one. I'll just say the impact from YouTube TV going dark with Disney was immaterial to the overall platform. And then Brent, maybe just circling back again, going back to the balance sheet, and priorities. Like, I think it's important again, to look at the balance sheet evolution. And so David spoke to the But just as a reminder, if we look at where we were two years ago, you know, call it the '23, we had about $400 million debt outstanding with a maturity of February 26. Now we have call it, $320 million outstanding with virtually all of them maturing in '29 and '31. And then our adjusted EBITDA for '24 was a loss of $86 million. And now on a pro forma basis, we just reported that $78 million for calendar '25. So pretty major improvements. And so to the investment priorities, I would just say that the free cash flow generation should be an output of those investments.
Operator: Your next question comes from the line of Patrick Scholl with Barrington Research. Please go ahead.
Patrick Scholl: Hi, good morning. Thanks for taking the question. Just on the advertising front, is there any sort of ramp period after you merge the tech stack with Disney for the ad sales relationship until you get that, I think you said double-digit improvement in fill rates and CPMs? And then just on the variety of service offerings that you guys have in market now, could you maybe talk about the different seasonality trends and how to think about those? As we model out, you know, growth over the course of the year. Thank you.
John Janedis: Yeah. Pat, why don't I start on the AdRamp? Look. This is a very straightforward business. The beautiful thing about the advertising integration is that, you know, essentially, Disney is selling ads. They've been selling ads for a very long time. They've been selling against live networks that they own themselves. They've been selling against Hulu Live. This is basically the same service with just more inventory. Our ad inventory will roll right into that ad server and will sit alongside these other, you know, channels and programs. And so, you know, our sense is that, you know, we should see an impact as soon as it's integrated towards the end of the quarter. Or maybe slightly thereafter.
Patrick Scholl: And maybe I'll just quickly hit on the seasonality. Just as a reminder to David's earlier report, we're not really gonna break out the various services, but I can give you maybe a couple of high-level comments. One is that I think, you know, the Hulu Live service tends to be and historically been far less seasonal than the fuboTV Inc. service. Within the fuboTV Inc. service, as you know, it's been highly seasonal around fall sporting season. So the one thing we don't know yet is how seasonal the Skinny Sports Service will be. But then again, as it relates to that as a percentage of total subs, I don't think there'll be any visible incremental seasonality as it relates to those smaller services for the foreseeable future.
Operator: Your next question comes from the line of Doug Arthur with Huber Research. Please go ahead.
Doug Arthur: Yeah. Thanks. Just a couple of geeky, financial questions. John, the difference between sort of reported revenues and pro forma revenues is around $134 million, give or take. Is that the impact of closing Hulu Live late in October? Is that's question one.
John Janedis: Yeah. Yeah. Sure, Doug. That's correct. And so it's a little bit quirky there in the sense that because Hulu Live was the accounting acquirer, it actually we're we reported the three months of Hulu Live, and then they called the two months and a couple of days of fuboTV Inc. And so the delta there is just, yeah, that fuboTV Inc. revenue more or less for the twenty-eight days of October.
Doug Arthur: Okay. So when I look at the 8-K on page six where you kinda break down not the pro forma, but the actual reported revenue breakdown between related party advertising, etcetera. The fuboTV Inc. live numbers are sort of a stub period there I'm trying to just back out in terms of how fuboTV Inc. did ex fuboTV Inc. Yeah.
John Janedis: Let me take up on the one. I don't have the 8-K in front of me, so we can talk about that offline. What I can tell you, though, broadly speaking, is that if we want to isolate the fuboTV Inc. business, what I can tell you to the points we made is, number one, that we had a better subscriber outcome than we expected. And that flowed through the P&L. So I'd say we're pretty pleased with the outcome on the fuboTV Inc. business.
Doug Arthur: Okay. We'll disaggregate that later. Thank you.
John Janedis: Yeah. Okay.
Operator: Your next question comes from the line of Laura Martin with Needham and Company. Please go ahead.
Laura Martin: Hey. My first one is breaking news. After the call started, Disney did announce that it is confirming the appointment of Josh D'Amaro as the next CEO to succeed Bob Iger. So this is the second time the board of the Walt Disney Company is telling us that Disney is a park company and not an entertainment company. So my first question to you, David, is how does that affect your world if Disney going forward is gonna be really focused on the real world, which is first assets and not its let's call it, traditional TV and streaming assets.
David Gandler: Yeah. Well, first of all, congratulations to Josh. We didn't know about that. So thank you for letting us know. As it relates to, I think, the business, you know, Disney is a very large company. It takes a lot of time for them to decide on what their priorities are going to be. And I think, from what I heard, on the last earnings call, you know, Bob was very focused on highlighting the fact that they are still working on their technology stack, unifying their platform into one app. So I don't know what the impact will really be on us. You know, we're having conversations with the various teams, as I mentioned. Strong conversations with ESPN. You know, we have announced some of the things that we plan to do with ESPN. We've spoken to Dana and others, you know, the Hulu team. And our board has been very focused on trying to make sure that we're talking to the right people to really grow the business. So from my perspective, I don't really see any changes in the short term. But, obviously, that's yet to be determined.
Laura Martin: Okay. And then my second one is I was really intrigued in your shareholder letter that you said you were investing in the next generation of consumer-centric innovation. And it sounded like your goal is to close the gap with YouTube Live TV, which has about 10 million subs. As your biggest competitor now that you guys are 6.2 million subs. What kinds of things are on that road map for the next generation consumer-centric innovations that would help you close that subscriber gap?
David Gandler: Yeah. So, look, there's lots of things that we're focused on. I think that there's a huge opportunity around mobile. We see a significant number of subscribers, trial users, that enter our ecosystem through the mobile app. And so we'll be relaunching that experience shortly. And, you know, again, we're continuing to review some of the amazing capabilities that Disney and ESPN have. And when you look at, you know, their fantasy business, you know, which has over 10 million users, you think about their betting capabilities, and when you sort of look at all of the ways in which that we can engage, you know, a very large funnel, you know, we start thinking about ways in which we can really sort of develop our technology, our consumer apps and features around that. So, you know, there'll be more to come on that front, but, yes, we're very focused on product.
Laura Martin: Okay. And I'm gonna violate the rule, and I'm gonna drill down on the betting. One of the things you did early on, David, is really want you really wanted to go into betting and then we just couldn't afford the cost. Could you get back into the betting business through ESPN?
David Gandler: So, again, I don't think anything's off the table. You know, it's still early. Like I said, we've only been talking with Disney and ESPN for a couple of months. So we're trying to navigate the different teams. But I do think that, you know, we have a very strong engineering team. We have a strong product DNA at fuboTV Inc., and, you know, we'll be looking to bring ideas that, you know, we can deliver to Disney across the, you know, fuboTV Inc. platform. But, you know, as I think about Disney, generally speaking, I would say, you know, it's akin to being a kid in a candy store. You know, we're a sports platform. And when you look at, you know, the size, the reach that they have, the different elements, and touchpoints that they use to drive engagement, you know, I think that we can really develop a strong business there. And just some of the things that you and I already talked about, I believe, were highlight generation, which that we've been really focused on as well. I think there's an area to improve as well. And then the DVR experience, related to sports, I think, is another area where we continue to innovate given the number of events that we carry and the level of personalization that we afford consumers. So I'm very excited, generally speaking. It's just a matter of, you know, meeting with the right teams and focusing on delivering value for our consumers.
Operator: Your next question comes from the line of David Joyce with Seaport Research Partners. Please go ahead.
David Joyce: Thank you. Appreciate the follow-ups. There's a lot to digest here with the new fuboTV Inc. Two things. One, people were concerned when they saw Disney shelf filing for fuboTV Inc. shares, but could you please confirm that that two-year standstill is there and why the filing came out? And then secondly, what's your philosophy on, you know, guidance metrics from here? Normally, that's something you did to both stand-alone, but any sort of projections or guardrails you would put up for us? Thanks.
John Janedis: Yep. Sure, David. Hey. Thanks for the question. So on the first one, look. The short answer is that's correct. So the two-year lockup remains in place. Look. The shelf was a routine housekeeping item following the Hulu Live closing that required us to just put up a new shelf including registering Disney shares. But Disney remains subject to the twenty-four-month lockup period and the filing does not change that restriction in any way. On the guidance, I would say no guardrails yet. Like, the comment in the letter around guidance suggests that there are just some factors that we're in the process of refining in terms of timing and sizing and that's gonna impact our subs and, therefore, our subscription and, therefore, the ad revenue. Just as an example, you know, today's agreement with ESPN, you know, the timing on that, for example, or the NBC programming. But, look, we're only ninety-eight days into this combination. So it's just gonna take us a little bit more time.
David Gandler: Yeah. And just to add one more point on the reverse split. You know, again, I think we've been very transparent from the onset. People, of course, get nervous around hearing reverse splits. But the reality is, you know, it was important for us to align with our operational scale. We wanted to reduce volatility. And also, you know, attract institutional investment. These are, you know, natural things that have to take place. And it really is part of the corporate hygiene that we're trying to put in place, particularly after we've dealt with the, you know, the convert. So again, all of this is sort of trying to prepare fuboTV Inc. for a very bright future. And this is just one of those steps.
Operator: That concludes our question and answer session. Ladies and gentlemen, this concludes the fuboTV Inc. First Quarter 2026 earnings call. Thank you all for joining. You may now disconnect.